Operator: Hello, and thank you for standing by. My name is Tiffany, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Q3 fiscal year 2026 quarterly earnings results call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star, then the number one, on your telephone keypad. I would now like to turn the call over to Nicole Shevins, Senior Vice President of Investor Relations and Corporate Communication. Nicole, please go ahead.
Nicole Shevins: Good afternoon. Thank you for joining our conference call to discuss our results for the 2026 ended December 31, 2025. Today's call will be led by Strauss Zelnick, Take-Two Interactive Software, Inc.'s Chairman and Chief Executive Officer, Karl Slatoff, our President, and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. Before we begin, I'd like to remind everyone that statements made during this call that are not historical fact are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-Ks, quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. I'd also like to note that unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. Our press release also contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC can be obtained from our website at take2games.com. And now I'll turn the call over to Strauss.
Strauss Zelnick: Thanks, Nicole. Good afternoon, and thank you for joining us today. I'm pleased to report that we delivered another outstanding quarter, including net bookings of $1.76 billion, which surpassed meaningfully the high end of our guidance. All of our labels outperformed substantially our expectations and contributed to our ongoing success. Due to our strong results and positive momentum that has continued in the current quarter, we're once again raising our outlook for the full fiscal year. We now expect net bookings to range from $6.65 billion to $7 billion, which represents 18% growth compared to fiscal 2025. At the midpoint, our revised net bookings forecast is approximately $725 million above the initial outlook we provided in May 2025, which reflects the creative passion, hard work, and consistent execution of our teams. Turning to highlights from the period, I'll begin with the fantastic performance of our mobile business. Peak's forever franchise, TuneBlast, grew 43% year-over-year and surpassed $3 billion in lifetime net bookings, an extraordinary achievement for a title that has been engaging players for more than eight years. The game continues to rank among our most valuable franchises, showcasing the long-term value of our match-three portfolio. Match Factory, another hit from Peak, grew approximately 17% over last year. The title remains a top contributor two years after its launch, affirming our strategy of building a diverse portfolio of games with vast global appeal. Color Block Jam remains Rolex's all-time top-performing title and was featured in Apple's 2025 free games list in the US, underscoring the title's success. Empires and Puzzles and Words With Friends grew 116%, respectively, over last year. Advertising revenues grew 10% over last year, driven by higher average revenue per daily active user, and we're highly confident in the future of this component of the business. 2K's mobile offerings also had another solid quarter, with WWE SuperCard surpassing 38 million lifetime downloads, NBA 2K's Mobile continuing to expand its audience, NBA 2K26 Arcade Edition holding its top five position on the Apple Arcade charts, and NBA 2K All-Star in China growing to nearly 9 million registered users after less than one year in the market. Mobile direct-to-consumer business delivered its strongest quarter on record. We've introduced recent enhancements that enable more personalized offers, flexible pricing, reduced payment friction, and alternative payment methods. With the regulatory environment becoming even more favorable to us, we view direct-to-consumer as a meaningful growth driver that will help accelerate net bookings, margins, and profitability. NBA 2K26 delivered another stellar quarter, yielding significant upside to our forecast. To date, the title has sold in approximately 8 million units, representing a high single-digit percentage increase over NBA 2K25. Recurrent consumer spending, daily active users, and MyCareer daily active users all grew 30% year-over-year. Based on its phenomenal year-to-date performance, NBA 2K is on track to generate the highest level of annual net bookings and recurrent consumer spending in franchise history. I'd like to thank the NBA and NBA Players Association for their extraordinary partnership and support. Grand Theft Auto series also vastly outpaced our forecast, with recurrent consumer spending growth of 27%, led by GTA Online's A Safe House in The Hills update, which featured long-awaited mansion properties and the return of the fan-favorite protagonist, Michael DeSanta. Full game sales of Grand Theft Auto V remain strong, with the title now having sold in over 225 million units since its launch in 2013. GTA Plus continues to thrive with membership levels nearly doubling over the same period last year, and we're excited about its potential to add even more value to the player experience in the future. In December, Rockstar Games expanded Red Dead Redemption and Undead Nightmare onto new platforms, bringing these classic blockbusters to PlayStation 5, Xbox Series X and S, Nintendo Switch 2, and iOS and Android mobile devices for Netflix subscribers. We're immensely proud of our teams and their ability to deliver consistently the highest quality and most engaging entertainment experiences. As we continue to explore and invest in new technologies, particularly AI, we'll unlock greater efficiencies that will allow our talent to focus on the kind of innovation that has enabled us continually to set new creative and commercial benchmarks in interactive entertainment. Our execution throughout fiscal 2026 has been extraordinary, and we're highly confident as we approach fiscal 2027, which promises to be groundbreaking for Take-Two Interactive Software, Inc. and the entire entertainment industry, led by the November 19 release of Grand Theft Auto VI with Rockstar's launch marketing set to begin this summer. With ongoing momentum in our business, coupled with our robust forward release schedule, we continue to project record levels of net bookings in fiscal 2027, which we believe will establish a higher financial baseline, set us on a path to enhanced profitability, and further provide balance sheet strength and flexibility. I'll now turn the call over to Karl.
Karl Slatoff: Thanks, Strauss. I'd like to thank our teams for delivering another fantastic quarter, which reflects our world-class talent and the breadth and depth of our portfolio. I'll now discuss our recent and planned product offerings for the balance of fiscal 2026. On January 14, 2K and HP Studios announced an array of new content for PGA Tour 2K25, including three new courses for the 2026 major championships: the 2026 PGA Championship at Oraneman Golf Club, the 126th US Open at Shinnecock Hills Golf Club, and the 154th Open at Royal Brookdale Golf Club, with more to come, including new seasons. Additionally, we look forward to growing the community with the launch of PGA Tour 2K25 on Nintendo Switch 2 on Friday. Paroxys Games will continue to deliver a steady cadence of updates for Sid Meier's Civilization VII, and on Thursday, 2K will launch Civilization VII for mobile devices exclusively on Apple Arcade, representing an exciting opportunity to expand the Civilization audience. On March 13, 2K and Visual Concepts will once again raise the bar for a wrestling franchise with the release of WWE 2K26. Featuring the biggest roster in the series' history, players will be able to choose from over 400 legends and current superstars and enjoy new customization options throughout the game. We plan to support the release with a new ringside pass live service model and a series of add-on packs that can be purchased individually or together as part of the season pass. 2K and Gearbox Software will continue to support Borderlands 4 with new content and updates, and we expect the title to achieve strong sell-through over its lifetime. Zynga will continue to deliver new features and drive innovation across its live services, as well as pursue the development of new titles. Looking ahead, we believe strongly in our upcoming launches and will provide our initial three-year pipeline for fiscal 2027 through fiscal 2029 with our Q4 results in May. I'll now turn the call over to Lainie.
Lainie Goldstein: Thanks, Karl, and good afternoon, everyone. Our third-quarter results were fantastic, with all of our labels delivering excellent results, and we are pleased to once again raise our outlook for the fiscal year. Many of our core franchises continue to thrive, and fiscal 2026 is on track to be one of our strongest years in recent history. I'd like to thank our teams for their vision, passion, and dedication. Turning to our performance, we delivered third-quarter net bookings of $1.76 billion, which was significantly above the high end of our guidance range of $1.55 billion to $1.6 billion. This reflected better-than-expected performance from NBA 2K, the Grand Theft Auto series, and several mobile titles, including TuneBlast, Empires and Puzzles, and Top Eleven. Recurring consumer spending rose 23% for the period, which strongly outperformed our guidance of 8% growth and accounted for 76% of net bookings. NBA 2K grew 30%, Grand Theft Auto Online increased 27%, and mobile increased 19%, all of which exceeded our expectations. During the quarter, we launched WWE 2K's Mobile for Netflix and Red Dead Redemption and Undead Nightmare for several new platforms. GAAP net revenue increased 25% to $1.7 billion. Cost of revenue increased 26% to $754 million, and operating expenses increased 10% to $984 million. On a management basis, operating expenses rose 13% year-over-year, which was in line with our guidance and represented significant operating expense leverage on our fantastic top-line growth. Turning to our guidance, I'll begin with our full fiscal year expectations. We are once again raising our net bookings outlook and now expect to achieve $6.65 billion to $6.7 billion, which represents 18% growth at the midpoint over fiscal 2025. The increase reflects our third-quarter outperformance and higher expectations for several of our key titles during the fourth quarter. The largest contributors to net bookings are expected to be NBA 2K, the Grand Theft Auto series, TuneBlast, Match Factory, Empires and Puzzles, Color Block Jam, Borderlands, Red Dead Redemption series, and Words With Friends. We now expect recurrent consumer spending to grow approximately 17% and represent 78% of net bookings. This is up significantly from our prior forecast of 11%, driven by strong momentum across most of our major franchises. Our revised recurrent consumer spending forecast assumes that NBA 2K grows 37%, mobile increases approximately 13%, and Grand Theft Auto Online increases slightly. All of these expectations are raised from our prior forecast. We project the net bookings breakdown from our labels to be roughly 46% Zynga, 38% 2K, and 16% Rockstar Games. We are raising our operating cash flow forecast to $450 million, which is up from our prior expectation of $250 million, with the increase reflecting the strength in our business. We remain on track to deploy approximately $180 million in capital expenditures. We are also updating our forecast for GAAP net revenue, which is now expected to range from $6.55 billion to $6.6 billion, and cost of revenue, which is expected to range from $2.78 billion to $2.8 billion. Our total operating expenses are now expected to range from $3.96 billion to $3.97 billion, compared to $7.45 billion last year, which included a $3.6 billion impairment of goodwill and intangible assets. On a management basis, we now expect operating expense growth of approximately 8% year-over-year, which is down slightly from our prior forecast due to a shift of some marketing expenses into next year. Given our strong net bookings outlook, this assumes meaningful operating expense leverage over last year. Now moving on to our guidance for the fiscal fourth quarter. We project net bookings to range from $1.51 billion to $1.56 billion, compared to $1.58 billion in the prior year. Our release slate for the quarter includes Sid Meier's Civilization VII for Apple Arcade, PGA Tour 2K25 for Switch 2, and WWE 2K26. The largest contributors to net bookings are expected to be NBA 2K, the Grand Theft Auto series, TuneBlast, Match Factory, WWE 2K, Empires and Puzzles, Color Block Jam, Red Dead Redemption series, and Words With Friends. We project recurrent consumer spending to increase by approximately 7%, which assumes a high 20% increase for NBA 2K, mid-single-digit growth for mobile, and a modest decline for Grand Theft Auto Online. We expect GAAP net revenue to range from $1.57 billion to $1.62 billion, and cost of revenue to range from $675 million to $692 million. Operating expenses are planned to range from $973 million to $983 million. On a management basis, operating expenses are expected to grow by approximately 3% year-over-year, primarily driven by higher performance-based compensation and user acquisition investments to support robust performance in our mobile portfolio, which is partly offset by lower production expenses. In closing, our business momentum remains outstanding. We are very confident in our future. With Grand Theft Auto VI and other eagerly anticipated titles on the horizon, we believe that we will generate higher earnings power, strengthen our balance sheet, and deliver sustainable shareholder returns. I'd like to thank you all for your support and look forward to sharing more details in the coming months, including our initial outlook for fiscal 2027 when we report our fourth-quarter results in May. Thank you. I'll now turn the call back to Strauss.
Strauss Zelnick: Thanks, Lainie and Karl. On behalf of our entire team, I'd like to thank our colleagues for their shared commitment to excellence and Take-Two Interactive Software, Inc.'s long-term success. To our shareholders, I want to express our appreciation for your continued support. We'll now take your questions. Operator?
Operator: Press star, then the number one on your telephone keypad. To withdraw your question, simply press star 1 again. We'll pause for just a moment to compile the Q&A roster. Your first question comes from the line of Doug Creutz with TD Cowen. Please go ahead.
Doug Creutz: Hey. Thank you. The last few days, the equity markets have really punished your stock and those of other video game makers because of fears about what AI means for your business. I wondered, Strauss, if you'd like to expound upon whether you think what's happening in the market is an accurate reflection of the threats and opportunities you see coming from AI. Thank you.
Strauss Zelnick: Thanks, Doug. Oh, I have to admit I'm a little confused. You know, the video game business since its inception was built on the back of machine learning and artificial intelligence. We create our games in computers with technology. And ever since questions began about generative AI about eighteen months ago, I've been incredibly enthusiastic about what the future can bring. As it happens now, we're actively embracing generative AI. We have hundreds of pilots and implementations across our company, including with our studios, and we are seeing opportunities to drive efficiencies, reduce costs, and create the opportunity to do what digital technology has always allowed, which is the mundane tasks become easier and less relevant, which frees up our creators to do the more interesting tasks of making superb entertainment. The history of the interactive entertainment business has been one of great creators using technology to do amazing things to please audiences. And that's our job around here, and that remains unchanged except perhaps accelerated. Just a reminder, our strategy has three parts: be the most creative, be the most innovative, and be the most efficient company in the entertainment business. And generative AI squarely falls within the category of innovation and is already moving into the category of efficiency. I'm hopeful that it will also move into the category of creativity as it allows our creators to use digital tools to expand what we do to make it even more beautiful, engaging, and exciting. Thank you.
Operator: Our next question comes from the line of Eric Handler with ROTH Capital Partners. Please go ahead.
Eric Handler: Yes. Good afternoon. Thanks for the question. Strauss, you just had another really strong quarter with mobile.
Strauss Zelnick: And mobile has just been on a very big tear for the last seven quarters now. Wondering if you could talk about some of the initiatives or bold beats, as they used to call them, that you thought what are you finding that's really resonating? What is keeping these games that have been out for a number of years still relevant and drawing in new players?
Strauss Zelnick: Well, our Zynga team still refers to bold beats. They're a big part of what we do. And just to put a fine point on it, you're right. Our mobile business is up 19% year-over-year. TuneBlast was up 43%, Match Factory 17%, Empires and Puzzles 11%, Words With Friends 6%, and Color Block Jam is a huge hit for Rolex. And that really is the tip of the iceberg. We really are firing on all cylinders at Zynga and also with 2K's mobile properties. What do I think is going on? Look, I think we are actually making hits, and that is still pretty unusual in the mobile business. The hardest thing to do is create new hits in the mobile business. And Zynga has proven an ability to do so by doing what we do, which is creating a home for the best talent in the business, encouraging them to pursue their passions, and supporting them and marketing with an A-plus structure and a really strong balance sheet. It's really hard to do that. There aren't very many companies that are doing it. I believe we're the only company that's doing it over and over again. You are right also, though, that the backdrop is strong. There was a disappointing moment in mid-2022, which is as it happens when we acquired Zynga, where for the first time the mobile market was down post-pandemic. And it was down more than we expected, and it took a while to rebound. The market has rebounded. There are tailwinds. So much as I'd like to take credit for all of the team's success, that's not really my style. I do think a rising tide lifts all ships, and we are benefiting from consumer engagement with mobile games.
Eric Handler: Great. That's helpful. I also wondered, would you be willing to sort of give some type of indication of what percentage of your mobile recurring spending is coming from direct-to-consumer?
Strauss Zelnick: It's meaningful. We haven't given a number. The environment for direct-to-consumer is improving. It has been a big strategy since we acquired Zynga. You may recall we talked about the synergies that we would find on the revenue side. I said in calls right after the acquisition that we thought the potential for direct-to-consumer could be seen as a revenue synergy because effectively what happens is we are actually capturing a higher share of those revenues and enhancing our margins. The recent regulatory environment has become much more favorable, and we also predicted that. I do think we're going to continue to see third-party take rates decline, which will drop to the bottom line.
Eric Handler: Thanks.
Operator: Your next question comes from the line of Colin Sebastian with Baird. Please go ahead.
Colin Sebastian: Yes. Thanks, everyone. A couple of questions for me. And maybe first, continuing on the RCS theme of growth. Maybe you could expand a bit on the SafeHouse expansion in terms of driving higher levels of engagement. Are there specific learnings from that informing other future content updates? And I guess, secondly, maybe to Strauss, how are you thinking about capital allocation priorities with the growing cash balance, which is likely also going to expand quite a bit later this year? Thank you.
Strauss Zelnick: So what we learned from a Safe House in the Hills update is that you deliver great material, consumers show up. And Rockstar always aims to do the best possible work. Some of the content updates have performed better than others, and this one has been nothing short of stellar. But I think the broader point is the one that matters, which is as we head into the release of GTA VI, I think there was some trepidation on the part of market participants that GTA V or GTA Online would somehow become less relevant. And I think the contrary is true. The anticipation is yielding even more engagement with GTA. GTA V, of course, has now sold in 225 million units. But what's it all driven by? It's the reason that GTA is so extraordinary is because Rockstar makes an extraordinary game and continues to make extraordinary features and additions and opportunities, and the Safe House update basically shows that. So this is an example of where our strategy pays off. We're focused on creativity, and it pays off.
Strauss Zelnick: I'm sorry. On your second question, capital allocation remains unchanged. So you know, we have three uses of our capital. And I agree that if things go well and as planned, our cash balance should continue to grow. And, of course, we are generating significantly more operating cash flow than expected this year. These results. The first is, of course, to support organic growth. That's been our story here. This is an organic growth company with a handful of very selective acquisitions, thankfully, all accretive ones, most notably the acquisition of Zynga in 2022. So that leads me to the second use of our capital, which is inorganic growth opportunities, and we'll continue to pursue those in just a selective and disciplined way, and we are looking only for accretive opportunities. And the third is to return capital to the shareholders, which we've done over and over again. We've typically done so opportunistically with buybacks. And, thankfully, our buybacks have all turned out to be good for the shareholders in the fullness of time. I am a believer that you do buybacks when your balance sheet can afford it, on the one hand, and when you can do so at deep value, on the other hand. Our most recent buyback was executed at about $158 a share. There were some moments where people thought that was a bad thing. Turns out it was a very good thing.
Operator: Your next question comes from the line of Chris Schoell with UBS. Please go ahead.
Chris Schoell: Great. Thank you. You've seen consistent outperformance with NBA 2K and continue to post very strong growth despite the difficult comparisons. Can you just touch on what is resonating most, do you think, with players? And as you think about the next leg of growth for the franchise, what do you see as the biggest opportunity? Is it going to be growth internationally, expanding the user base, or enhancing monetization? Thank you.
Karl Slatoff: So it's hard to say that one particular thing is driving the success of NBA. Obviously, it's been an incredible year for us, selling a lot of units, and also the performance of RCS across the board and engagement has been off the charts, 30 plus percent year-over-year on basically every mode that we have. Those things don't come easy, and I think the best way to describe why this works for us is because of the way that VC and 2K run their business, which is really in a state of perpetual diligence. They're constantly communicating with the consumer, seeing what the consumer is doing, watching how they play, seeing what works, doesn't work, and refining the game year after year. And it's that maniacal attention to detail when you add it up year over year, that culminates in so much success. And this is one of those years where everything was just humming in the right direction. And on top of that, there's always an effort every year to do something a little bit different, a little new. For example, the cruise this year, which is a really interesting concept. People can pair up together with 50 people, play against other teams, and it's a really exciting thing, a social thing, which has had a pretty big impact on the MyCareer mode. So it's not one thing. It's everything. And I'd say it's culture, as much as it is anything else. I think there was a second part. Oh, biggest opportunity. Well, first of all, the biggest opportunity is to continue to do more of what I just described, which will lead to a higher installed base of folks and also to higher engagement, which ultimately leads to higher monetization. I do believe that there is a significant international expansion opportunity. The NBA continues to be an amazing partner for us. They're expanding internationally. Basketball is a global sport, and we've got that going for us. So I think that will help us drive. And just without regard to just the NBA expanding, there are lots of opportunities for us to expand also in North America as well. As we grow with the brand and partnership with NBA. So at this point, I think the sky is still the limit. We surprise ourselves every year. The game does better and better, so we're very optimistic about the future, obviously.
Operator: Your next question comes from the line of Andrew Marok with Raymond James. Please go ahead.
Andrew Marok: Hi. Thanks for taking my question. Maybe specifically, again, back to the commentary on generative AI. You know, we hear loud and clear Take-Two's ability to harness that. But maybe on Genie specifically, we've been getting a lot of questions from investors about the similarities and differences between world models and game engines. Can you maybe give us an overview of what you think tools like Genie can and cannot do as it relates to some of the proprietary game engines that you operate? Thank you.
Karl Slatoff: So in terms of commenting on the specific technology, I think we're not going to go into great details about the tech differences because, frankly, Genie's early in its iteration at this point. And trying to make a comparison to a game engine is just really they're not even in the same ballpark. Genie is not a game engine, and I would it's very exciting technology, and I think the question is, how can it benefit our creators? And I think there will be a moment in time where that will become more defined. It certainly doesn't replace the creative process. And I would say, look, it looks to me more like a procedurally generated interactive video at this point. There are limitations, and Google has said as much. So to compare the technologies, I think there's really no way to do that because they're so far apart. And there are so many more elements to game development that go beyond, you know, quote, world creation. And the question is, what is a world creation? So even beyond world creation, there's everything else that's involved. There's the storyline, there's emotional connection, there's vibe, there's mission structure. All of those things, you cannot capture through AI. And certainly not through a world builder. So that's just a very, very small component of what we do. And if this tool bears out, it will make a component of what we do all that much better and more efficient.
Andrew Marok: Great. Thank you.
Operator: Your next question comes from the line of Edward Alter with Jefferies. Please go ahead.
Edward Alter: For the question. I want to dig into your app mobile advertising results. I think it's the second time you guys have grown that year over year since acquiring Zynga. I wanted to dig into what's going so right there and where kind of the opportunity for continued growth in the mobile advertising space is for you guys.
Strauss Zelnick: That's pretty simple. When we took over Zynga, there weren't a lot of ad units in most of the games, and we have selectively added ad units pretty much across the board, not entirely certain games. Don't merit that. Also, I think Zynga's been very smart about the way they go about monetizing that advertising. And there really is much more opportunity there without interfering with the experience at all. The strategy ultimately is to make sure that one way or another, we monetize the bulk of our users. As you know, in the mobile games business, fewer than 20% of your users actually engage with you to pay.
Edward Alter: And given your comments on how the impending GTA VI is a positive for GTA Online in its current form, what is your view on what GTA Online is going to continue to be the current iteration once GTA VI does come out?
Strauss Zelnick: Look, Rockstar Games is the locus of information about, you know, where the titles go, content, and marketing. Generally, you know, we have a pretty light touch when we talk about the labels' creative activities. At the same time, I have every reason to believe we'll continue to support GTA Online. There's a great community that loves it, that stays engaged. And, again, in this quarter, Rockstar has shown that when you deliver great additional content, despite how long GTA Online has been in the market, people show up.
Edward Alter: Great. Thank you.
Operator: Your next question comes from the line of Jason Bazinet with Citi. Please go ahead.
Jason Bazinet: I think this is a while back, but I think when you first talked about GTA VI coming out, you noted that you expected your non-GAAP earnings to grow the year after it was released, not just the year. You know, the year is released being the base. I just wonder, is that still true? And do you mind just sort of unpacking sort of the main drivers of that? Presumably, one of it is just getting four quarters attribution, but what else would you say are the key drivers of that expectation if it is still true?
Lainie Goldstein: What we have been saying is that we expect that our release schedule is going to drive sequential growth next year. And then that will bring us to establish a new baseline for our business going forward. So we haven't really been talking about detailed guidance beyond fiscal year 2026. And now in our May earnings call, we'll give our guidance for fiscal year 2027. And we're not planning on providing detailed guidance for any years beyond that at this time because our release schedule includes numerous titles each year, and even modest shifts can have a significant effect on results in any given period. So all of our years will be driven by our release schedule, and we have a very robust release schedule over the next couple of years, and that's what's really driving the growth in the business.
Jason Bazinet: Perfect. Thank you.
Operator: Your next question comes from the line of Alec Brondolo with Wells Fargo. Please go ahead.
Alec Brondolo: Yeah. Hey. Thank you so much for the question. It seems like the market is creating potential opportunities for M&A. So in that light, could you maybe refresh our understanding of what makes a studio appealing to Take-Two? You noted in response to a prior question that any M&A has to be accretive. And so with that said, what are the other qualities in the studio you look for? Thanks.
Strauss Zelnick: Well, you're right to ask that because accretive is a financial calculation based on the decision to proceed. The decision is based on the talent, the technology, and the intellectual property. And we think there may be some opportunities out there that, you know, you have to be incredibly selective. You know, broadly in the market, as you know, most corporate M&A fails because most corporate management teams love the notion of presiding over a bigger and bigger empire. Don't look at the world that way. You know? Our job is to entertain the world. Our job is to make the most creative properties that anyone can make and to bring them to consumers wherever they are. If there is an enterprise available on favorable terms that sits within that strategy and can operate within our unique culture, then it's potentially interesting to us.
Alec Brondolo: Thank you.
Operator: Your next question comes from the line of Michael Hickey with Benchmark Company. Please go ahead.
Michael Hickey: Hey, Strauss, Karl, Lainie, Nicole. Good quarter, guys. Congratulations. I guess the first question, you've got two. Is on GTA VI. Glad to hear that summer marketing is going to start here. That's encouraging. But just sort of curious, Strauss, how much marketing you really have to do here if there's leverage versus prior releases just given the strength of GTA V, GTA Online, in fact, this is, you know, massive pent-up demand for what will be probably the largest entertainment release of all time, seem like you have to market much. So just curious your view there. And then, I guess on the topic of affordability, which is obviously very topical, certainly within the video game space, just curious your specific thoughts given that we're sort of year five here approaching year six of the current console cycle and pricing of consoles are going up. We've got now memory cost issues, so they can even go up further by the time the GTA VI comes out. We've also seen some inflation on software. So just broadly speaking, how do you think your fits within that affordability picture and how you think about providing value, which I know is a centerpiece of what you've done in store? Thanks, guys.
Strauss Zelnick: Hey. Thanks, Mike. I mean, I love your question, your first question. Like, are we just going to sit back and relax as we head into the release of GTA VI? And I think the opposite is true. You're talking to a team that you've known for seventeen years, and the business of eating red meat for breakfast. I think we'll be having a lot more red meat in the coming months. So we are very fortunate. The consumer anticipation for GTA VI is indeed huge. And one does have to be judicious in the way one markets such an extraordinary property. But rest assured that you'll be pretty astonished by the creativity that Rockstar's marketing team brings to consumers in the coming months. On the affordability question, you know, we do feel a compact with the we've talked about for a very long time to deliver way more value than what we charge. I think we're known for that. And you know, we're in the business of entertaining people. We're not in the business of creating revenue. Revenue comes from entertaining. And interactive entertainment on a real basis is getting more and more affordable all the time because we offer extraordinary value for the money. You know, people engage with our properties for hours and hours and hours, and on a real basis, frontline prices have declined in the past twenty years. Meaningfully declined. So we see it the same way, which is we, you know, we do believe in democracy access to what we do around here. We want everyone to be able to engage. I just mentioned it in terms of mobile. You know, you want to have a great mobile experience. We offer the best mobile experiences on earth free. And you can play them and have a wonderful experience completely free. On the console side, of course, you know, that's not expected by consumers. Because of the deep value that we bring, and consumers do expect to pay for that. But on a real basis, we're making it more and more affordable and more and more accessible.
Operator: Your next question comes from the line of Drew Crum with B. Riley Securities. Please go ahead.
Drew Crum: Okay. Thanks. Hey, guys. Good afternoon. So you have a few undated mobile titles as part of your frontline release schedule. Recognizing it's been a tough launch market for new titles for a while now, based on the strength you're experiencing with your mobile business, can you comment on what you're seeing in terms of market dynamics for launching new games and whether the backdrop is more supportive of delivering new hits?
Strauss Zelnick: Thanks. You know, there are really only two companies in the mobile space who are delivering new hits in the last five years. We're one of them. It's super hard. Incredibly hard. It's been hard. You're quite right. Ever since you had to pay for user acquisition, which is, you know, the better part of, I guess, nine years, it's become much more difficult. And, you know, the early days of mobile, of course, now is a new market and people are very accepting of new IP and new markets. So we're exceedingly respectful of the difficulty of launching any new hit, that includes in our mobile space. I do think the Zynga team has come up with an approach that is more likely to succeed more regularly than our prior approach because while they arrive at this. And once again, it's sort of, you know, be selective. And focus on the best talent in the business and make sure that that talent pursues their passion. And then, of course, listen to the data. Iterate according to the data. But you can't iterate at the beginning to create a hit. You need creative passion to create the hit from which you build.
Operator: Your next question comes from the line of Brian Pitz with BMO Capital Markets. Please go ahead.
Brian Pitz: Thanks for the question. Strauss, we saw your recent announcement of the CFX marketplace, which appears to be a push in the direction of UGC gaming. Can you talk more about this launch and how you're thinking about the broader opportunity? And also, maybe any insights around developer economics in the marketplace with respect to bookings? Thank you.
Strauss Zelnick: I mean, I think that we've always welcomed quite some time user-generated content. We have that in numerous parts. Of course, we have the role-playing server business at Rockstar. So we see this as an important and interesting development with more opportunity to come. At the end of the day, you know, what we're known for here is our creators making the very best in entertainment. That's our job, and we think that that never goes away as a driver of the business. At the same time, there are users who want to create and engage, and we want to create a home for them as well. And tools that make that more viable and more accessible could be an opportunity for us.
Brian Pitz: Great. Thanks.
Operator: Your next question comes from the line of Martin Yang with Oppenheimer. Please go ahead.
Martin Yang: I have a question on engagement and a follow-up on monetization. Personal engagement, can you maybe talk about how the GTA player base is engaging with the game? Is it primarily GTA Online? Or do you see still the full game getting substantial playing hours per user or MAUs?
Strauss Zelnick: Look. We've, you know, we sold a whole bunch of units of GTA V in the quarter. And Rockstar continues to bring new consumers into the tent. It's both. It's the full game and it's the online version, which, you know, is up meaningfully year-over-year, about 27%.
Operator: Your next question comes from the line of Omar Dessouky with Bank of America. Please go ahead.
Omar Dessouky: Hi. It's Omar Dessouky. So I think you mentioned that Zynga comprised a little bit less than half of your revenue of the entire business. You know, over the last couple of years, it's been well known that, you know, solutions to avoid App Store fees would become commercially available, and, you know, there have been several that have been announced, such as, for example, Unity's cross-platform ecommerce solution that would help reduce the amount of fees that game developers have to pay to the app stores. How much of your fees that the distribution fees that you pay to the app stores do you think are addressable, you know, through such a third-party solution, you know, outside of the fact that you already have, you know, growth in your own DTC channel, are the two mutually exclusive? And how much, how much do you think you can save and how much time will it be before you implement, you know, such a third-party solution?
Karl Slatoff: So I'm not really going to comment on third-party solutions. So the fact is a lot of our DTC efforts, we really do in-house at this point. That's not to say that third-party solutions can't be helpful now or in the future. But primarily, this is an internally driven thing for us. And in terms of the opportunity, I think we've said before, right now, it's still pretty early. It's growing in terms of not all of our games, even some of our really large games, don't have DTC components to them. I think all of them at one point could. We'll see how that shakes out. So we're pretty early in the process, and we think there's a lot of growth ahead of us. But it's something that we're certainly excited about. It improves our margins. And as Strauss mentioned earlier, the legislative environment has been favorable towards that.
Strauss Zelnick: Thank you.
Operator: That concludes our question and answer session. I will now turn the call back over to Strauss Zelnick for closing remarks.
Strauss Zelnick: Thank you so much for joining us today. Obviously, we're thrilled with the company's results. We're thrilled with our revised outlook for the rest of the year. And we're beyond thrilled with our expectations for next year, including WWE coming up this year and, of course, NBA 2K, and then most notably, GTA VI. I want to just take a minute to thank our teams, our creative teams, for showing up every day, bringing their passion to the table, not taking no for an answer, and always willing to push as far as they can to deliver the most extraordinary entertainment experiences. And I want to thank our executive teams who subscribe to our strategy of creativity, efficiency, and innovation and who also show up every day doing their very best work in service of our collective goal to be the best entertainment company on earth. Thank you too to our shareholders for your support. These are really exciting times, and we're happy that you're along for the ride.
Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining. You may now disconnect.